Operator: Good morning, everyone. And welcome to the Travelzoo Fourth Quarter 2013 Financial Results Conference Call. At this time, all participants have been placed in a listen-only mode and the floor will be open for questions following the presentation. Today’s call is being recorded. Before introducing you to your host and beginning the company’s presentation, the company would like to remind you that all statements made during this conference call and presented in company’s slides that are not statements of historical facts constitute forward-looking statements, and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Actual results could vary materially from those contained in the forward-looking statements. Factors that could cause actual results to differ materially from those in the forward-looking statements are described in the company’s Forms 10-K and 10-Q, and other periodic filings with the SEC. Unless required by law, the company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. Please note that this call is being webcast from our Investor Relations website at www.travelzoo.com/earnings. Please refer to the company’s website for important information, including the company’s earnings press release issued earlier this morning along with the slides that accompany today’s prepared remarks. An archive recording of this conference call will be available at Travelzoo Investor Relations website at www.travelzoo.com/ir, beginning approximately 90 minutes after the conclusion of the call. Now, it is my pleasure to turn the conference over to your host, Chris Loughlin, Travelzoo’s Chief Executive Officer. Sir, you may begin.
Christopher Loughlin: Thank you, Operator and good morning and thank you for joining us today for Travelzoo’s fourth quarter 2013 financial results conference call. I’m Chris Loughlin, Chief Executive Officer. With me today is Glen Ceremony, the company’s Chief Financial Officer. Glen will walk you through today’s format.
Glen Ceremony: Thank you, Chris, and good morning, everyone. Thank you for joining us. For the format of today’s call, I will review our fourth quarter financial results and then Chris will provide an update on our strategy. Thereafter, we will open the call for question-and-answer session. Now, please open our management presentation to follow along with our prepared remarks. The presentation is available at www.travelzoo.com/earnings. Slide 3 provides the key financial highlights for the quarter. We achieved revenue of $37.5 million representing 1% year-over-year growth. Our earnings per share this quarter was $0.21, which is lower than prior year’s earnings per share due primarily to increased taxes compared to prior period. In addition to a 4% year-over-year growth in subscribers we continue to see increasing activity of our audience through mobile and social engagement. Slide 4 highlights our revenue by segment. Revenue in North America was $25.6 million, representing a year-over-year decline of 3% driven by weak results in our search revenue. In Europe, revenue was $11.9 million, representing year-over-year growth of 12%. Europe revenue growth in local currency was 11%. On slide 5, the North America year-over-year revenue decreased of $800,000 was primarily due to a 28% decrease in search revenue driven by challenges and traffic acquisition from search engines and poor modernization of our search products on mobile devices in addition to a decrease in local revenue driven by lower take rates. We plan to take a strategic work and our future direction for search during Q1 which Chris will elaborate on later in our discussion today. The declines in search and local were offset by a 7% increase in travel revenue due to increased advertising spend by certain vacation packages and cruises as well as continued growth in our Getaways for hotels. On Slide 6, the Europe year-over-year revenue increase of $1.3 million was due primarily to a 18% year-over-year growth in our travel revenue driven by increased advertising spend by certain vacation packages, airlines and Getaways for hotels. Slide 7 provides some detail on our operating income and net income. We generated $4.5 million in overall operating income, of which $2.7 million was from North America and the rest was from Europe. The European operating income represented 40% of the total operating income this quarter. Our taxes increased compared to prior year driven by a favorable tax benefit included in the prior year quarter of approximately $800,000. Slide 8, shows the cost of revenue and non-GAAP operating margin. The cost of revenue percentage increased due primarily to increased deal syndication expenses driven by higher volumes of syndicated deals, as well as the decline in local deals take rate. Our non-GAAP operating margin was impacted year-over-year by our continued investments, however, overall the margins slightly improved year-over-year. In addition, as a reminder in Q4 of last year, we had not fully ramped up our development effort on our hotel booking platform, this investment alone represents 2 points of our margin. Moving onto slide 9, this slide captures our operating expense by segment. Our North America operating expenses, decreased year-over-year by $600,000 due primarily to our reduced search product and traffic acquisition spend. We hold back on the spend if we see that the third spend will not result in a profit. This pullback in spend was one of the drivers to the reduced search revenue I mentioned earlier. North America expenses were relatively flat as a percentage of revenue. Europe operating expenses increased by $300,000, however, as a percentage of revenue they decreased given the strength in Europe revenue this quarter. We did not significantly increase our spend on subscriber acquisition marketing as we were balancing this goal with our other investment needs. We expect increased operating expenses next quarter from increased marketing, professional and legal as well continue development costs for our hotel booking platform. Turning to slide 10, this shows that our headcount decreased this quarter by 12 full time employees. We intentionally slowed down hiring and had some headcount reductions to help improve productivity. Note that the revenue per employee metric you see on the slide decreased year-over-year primarily due to your hotel booking platform related headcount additions over the last year because the details are currently non-revenue generating until we launch. Expansion could be, would have been relatively flat prior year quarter without this investment. We expect this metric to improve as we monetize our hotel booking offering after launch. In addition, we will continue to closely monitor the sales force productivity. Moving to slide 11, we continued to maintain solid collections and have maintained a substantial cash balance of $66.2 million. The business generated $10.5 million in adjusted operating cash flow. This cash flow is adjusted for the $12.3 million cash payment we made this quarter to settle a portion of the dispute over the unclaimed property, which was accrued last quarter as part of that $0.2 million charge. Overall our cash balance declined from last quarter as a result of both the $12.3 million unclaimed property settlement payment that I mentioned and $7.8 million of share repurchases. And we near the end of our repurchases from the previously board authorized one million share repurchase program. The board has recently authorized an additional repurchase of 500,000 shares of the company's outstanding shares to be executed from time to time in the open market, which will be funded from available cash. Turning to slide 12, in summary, we delivered solid growth in travel this quarter for both of our segments and an overall 11% year-to-year growth rate, which was offset by lower search revenue. Our operating margin was slightly improved even with our continued product development investments and lastly, we are maintaining our strong financial position with solid collections and no debt even after making large payments for our unclaimed property and executing on $7.8 million in share repurchases. Looking forward to this next quarter, we expect the following. We expect search revenue to continue decline as we are reviewing our search products and working on their improvement. We will also put a stronger focus on profitability, which could result in a revenue decline of approximately $1.5 million from our SuperSearch product versus the prior year period. We expect local revenue will be seasonally lower, we expect to continue our investment in the hotel booking platform resulting in approximately $0.05 EPS impact about a penny more than impact in Q4. We expect increased levels of professional and legal and increased levels of marketing cost related primarily to our subscriber acquisition spending in order to continue to drive audience growth. Overall, we remain confident in our solid financial position and the investments we are making to drive long-term growth. This concludes the financial summary of our fourth quarter of 2013. Chris now will provide an update on Travelzoo’s strategy. 
Christopher Loughlin: Thank you, Glen and hello everyone. Let me start on slide 14 by pointing out the key inputs into our business. On the X axis, you can see that we are growing our audience, and on the Y axis there, we can even see that we are increasing our revenue per subscriber overtime. A current investment strategy falls into two areas. First, we are investing in audience growth, not just by expanding our traditional email subscriber base but increasingly we are adding Facebook friends, Twitter followers and downloads to our mobile app. We are also focused on further engaging our existing audience. And second, we are investing in product development. We are reengineering our products to allow our users to search easily for what they need, why they need it and when they need to go and our focus is primarily on mobile and hotels. Let’s turn to the next slides review, how we are doing. On slide 15, you can see that overtime, audience growth has been a key driver of revenue growth. We added 1.8 million net new email subscribers in 2013. Net new subscribers are new subscribers net of unsubscribe. We believe that by growing our audience further, we can continue to grow our revenue as shown in the bottom left of this slide. In addition to email subscribers we are focused on building our mobile and social audiences. We ended the quarter with 2.4 million App Stores, 1.9 million fans across Facebook and Twitter. Mobile, including Smart phones and Tablet now accounts for approximately 40% of our traffic and over a million people are accessing our brand every week through mobile devices. On slide 16, I would like to highlight our second strategic element. Through product development we are expanding our relationships with our subscribers and suppliers and overtime, we believe that this increases our business opportunity. In 2013, we ramped our product development investment; we are focused on making it easier for our subscribers to find what they need. In Q4 we began to deliver our product enhancements that address this objective. Our new website offers a larger photos, localized homepages and site search across the site. We see lower balance rate, stronger conversions and more users are searching for our deals. Our mobile app and website, the mobile website that is, improved with the launch of version 2.0 with better photography, faster location detection, search and photos, our mobile conversion metrics are improving as a result of these efforts. We completed test of a photo edition of the top 20 in France and Spain and Southern California, we are now planning to offer a photo edition more widely. We see higher engagement rates in photo edition especially on mobile. We rolled out basic reviews on web and mobile. We now got over 400,000 subscriber reviews that are powering thumbs up that you see across the website. We also deployed deals on maps across all of our products. A subscriber living in New York and now zooming to cities like London, Paris and Sydney and few locally sourced restaurants, bar and hotel deals in addition to the U.S. packages that they have always been able to see. You can catch a glimpse of this on 517, and it does resonate for quite a picture and demonstrates just how extensive our coverage is of deals around the world. Our fly.com mobile product had its first full quarter in Q4, we processed three quarters of a million search queries in the quarter on a little or no promotion. While this was very encouraging, monetization lagged behind desktop. In 2014, we will focus our product development energy on our hotel booking engine, first and foremost. We will also make our deals, date searchable, enhance and reviews and deploy products to drive further engagement. And I’ll discuss search and a rollout of our hotel platform in the next slide. So, let's get slide 18 to discuss search. As previously disclosed, we saw a decline in search revenue in the fourth quarter. Our search products were affected by recent trends. It's become more competitive and less cost-effective to acquire traffic from search engine, users are moving to mobile. We do not operate SuperSearch on mobile and we do not yet have apps for fly.com. We’re also finding with fly.com mobile site that mobile monetization lags behind desktop. Air fare cost to click pricing is deteriorating; well hotel cost to click pricing is appreciating. And our current search products focused mainly on air fare. We’ve initiated performance review of search and will analyze our various options. This may include repositioning, consolidating or terminating certain products. During performance review as Glenn pointed out, we are running these products for profit and this will result in year-on-year decline in search, primary from SuperSearch of approximately $1.5 million in the first quarter. Well, I am obviously disappointed in the Q4 search results. I am also excited about the future possibilities for search of Travelzoo. I look forward to partnering with our new executive Eddie Garcia, a search product expert from eBay and David White, a search marketing expert from Yahoo and Efficient Frontier to help build out our future strategy. Turning onto slide 19, I would like to update you on our new hotel booking platform. We spent the last year developing and integrating the new booking platform, and I am pleased to say that our employees are now using the system to make their own hotel booking. This allows us to test the UX and guest experience. We planned our stock consumer bookings later this quarter. I recently made my first booking on the new platform, I stayed at Gramercy Park Hotel in New York and the experience was seamless. I was happy to know the Gramercy Park Hotel is a new supplier over the past 15 years, they did not promote a single deal with Travelzoo and now thanks to the booking platform, Travelzoo subscribers will be able to check into that hotel any night of the year. We expect continued impact on our expenses in the first quarter and no significant revenue from this new product. Please note when consumers book to our new product revenue we recognize upon check-in, not upon booking. Turning slide 20, I want to remind everyone, the quality underpins everything that we do. Quality experiences drive repeat and referral behavior, helping our brand thrive over the long run. Since the beginning, it's been about quality and for us into the future it will always be about quality. Including on slide 21, our areas of focus for 2013 are first and foremost we plan to maintain our quality leadership position by publishing high-quality deals and offering high-quality products or tightening our brand control. We intend to reaccelerate our long-term revenues by investing in audience growth, engagement across email, social and most importantly mobile. We are also introducing products to simplify and improve our business, particularly online booking capability of hotels and in our mobile products. And lastly, we plan to invest for future growth while remaining profitable. Thank you for joining us, this concludes our prepared remarks and now I’ll turn back to the operator to the question and answer session. Thank you, operator.
Operator: Thank you, sir. (Operator Instructions) Our first question comes from Ed Woo of Ascendiant. Your line is now opened. 
Ed Woo – Ascendiant Capital Markets: Hi, thank you for taking my question. The first question I have is, how much of the strength that you had in your hardcore travel was due to, the travel in this and do you see any possible changes heading into the next, into this current year?
Glen Ceremony : Hi Ed, good morning and thank you. We did see a pickup in the UK in general that the economy is obviously turning around; so that was helpful, but as in the primary driver here is that we have got a year of experience in our Getaways product. We also have some sales folks really working at full speed now and you saw in the last year we did ramp that sales force. In the more recent quarters headcount come down as we start to optimize the organization. So, I think it's more on the effectiveness of the sales organization, but certainly there is some benefit from the economy.
Ed Woo – Ascendiant Capital Markets: Glen, you mentioned that competition was increasing for search business. Do you see it also increasing rapidly for you know, that your hardcore travel, as well or do you overall pie just increasing as well?
Glen Ceremony : The competition is a keyword, clicks is what I was referring to that. And as you see, Google and other search engines are introducing their own products for keyword search, for as I search and that then pushes all results down the page. Also there are other players in the market who are bidding up to capture a more traffic whether they are profitable on those campaigns, I don't know but we are finding that the prices on some of those clicks are now becoming too expensive.
Ed Woo – Ascendiant Capital Markets: You mentioned that you are doing a strategic review of your search business which includes SuperSearch and fly and one of it is possibly merging or getting out of the business entirely, what the decision be made you think in this quarter to do that or do you think this will probably be something that you may evaluate over the course of the year?
Christopher Loughlin: We would like to conclude the evaluation this quarter, but if it takes us a little bit longer we will take our time and make the most prudent decision but ideally would like to complete this quarter.
Ed Woo – Ascendiant Capital Markets: Good idea, and last question I have is on your local deals business, you mentioned that the click rates have gone down, is this something that you foresee continuing over the next course of the year and do you think that or do you think there is a chance that you would still see from stabilization as a sort of the competitors you will be pulling back in this market?
Christopher Loughlin: I will answer a bit of the question then I’ll ask Glen for some comment on this one Ed. I would like to point out that we, we are aiming for higher quality merchants in most of the market, this last quarter we were the only brand of that, that was running a nationwide deal before seasons hotels, spas and in an order to capture that content we were interested in being more flexible, what we did see just in generally with vouchers, we saw more returning bias than ever before and in the quarter we also saw record number of unique purchases. From the consumer side we are quite pleased obviously the take rate is coming down, Glen would you like to comment on what your prognosis is for the future of the take rate?
Glen Ceremony: Hi Ed, yeah the take rate I think, the decline is probably representative of what we will be doing in the future, it’s just because like Chris said, we are kind of resetting to make sure we have competitive in marketplace as well getting the deals that we want on a national basis and the merchants are preferable. So, what we saw was that on average this quarter year-over-year it’s about down by 3 percentage points and yeah, I don’t where that completely stabilizes, but that’s a pretty large drop from last year. So, we forget about the deals that’s the good tracking, good balance between the merchants and us.
Ed Woo – Ascendiant Capital Markets: Great, well, thank you and good luck.
Christopher Loughlin: Thanks Ed.
Glen Ceremony: Thanks.
Operator: Thank you, our next question comes from Dan Kurnos of Benchmark Company, your line is now open.
Dan Kurnos – The Benchmark Company: Great, thank you, good morning. Chris let’s start from the top here on travel, just a quick question North America had a pretty big deceleration in the growth rate, just wondering if there were competition issues there although your overall travel was better, you called out the U.K. and left here an update on how the progress on the mobile front is going from the travel perspective?
Christopher Loughlin: Hi Dan, good morning. I think we have felt pretty good about the result there in North America on a year-on-year basis to one of our strongest quarters historically over the last few years and of course Europe, we are delighted with that performance in Europe travel. On the travel business in general is doing well for the reasons we mentioned that to Ed, we are seeing a pick up in the economy, we are seeing that our sales team is now being bed in and is optimizing and we know that our subscribers have certainly on the Getaway side, they purchase these Getaway, they have been out, they have experienced it, the weekly rate on vouchers and general is increasing so that’s positive. On the mobile side, I think we have made really tremendous progress certainly in the last three months, the apps are much more stable, location pick up is much faster, the conversion rates are stronger and the images are now much bigger as well, so I mean, I think we are really pleased about that. The mapping tools, the filtering tools particularly in the apps help the users find what they need. We want to get to a point where you have this sort of concept in the app where you can simply find what you need, where you need it and when you need it, the concept is very simple like for example, here I’m in New York and I want to have lunch this afternoon in some of the great restaurants that we work with that sort of a vision or I want a hotel tonight or next week. At the moment we publish deals in an email format and these have headlines that don’t necessarily have indexable or searchable data, so there is a lot of backend work going on to enable that vision, I think we’re getting pretty close to it now particularly in the hotel category and I think that’s going to be as pretty exciting for all of us.
Dan Kurnos – The Benchmark Company: Thanks for the color. Glen, quick question will you be willing a share what the Getaways growth rate was in the quarter or just some color around that?
Glen Ceremony: First, we are pleased with the growth, it’s really still being accepted in the market, so it’s over 40% growth overall with higher growth rates in Europe relative to North America.
Dan Kurnos – The Benchmark Company: Great, thanks for that. Chris, on the local side just as maybe follow up a little bit on Ed, there was actually a little bit of upside here, I know you guys have been more flattish Q-over-Q, but you had a, looks a better quarter I think then expected on local, what’s driving that business is it merchant optimization? Is it reapy business? And have you seen an increase in reapy business or is the site benefiting maybe some more color there would be helpful?
Christopher Loughlin: The one thing which we did launch in the quarter was that when you’re gifting a product and that certainly helped drive conversions, we also befitted from the seasonal effect of that particular business and we saw, we saw that come through very clearly in the U.K. where folks were buying these vouchers as a gift and we also produced now a physical gift you can send to your friend and put it under the Christmas tree or wherever you like. So that’s really sort of an enhancement of that product and through the mobile apps, it’s now much easier to find what we need, we didn’t have filtering in the apps before, now you can say I want New York and I want to a restaurant, that’s really helping drive conversion, I would like to get that down to meal type, so I want I am in New York and I want lunch that sort of a feature addition of app, some of those the gifting in the mobile certainly help to drive performing.
Dan Kurnos – The Benchmark Company: So, combining all of that when do you think we might see returned to growth in local overall and how sustainable would that growth be?
Christopher Loughlin: I don’t think I’ve got that answer for you in terms of timeline, but we are working on it and I think the key, the key to the answer is getting the flexibility in data structure right, particularly for mobile and we are working on it. And if you bring up the app right now you will see things that we’re testing that we think will drive future growth.
Dan Kurnos – The Benchmark Company: Okay, fair enough. Turning to search, I just want to get a sense here, you said in the past that search was sort of a key driver of traffic which is why you kept it as a business, is that, is your perception of that changed or is it really just the competition and the landscape is sort of forcing you to make this decision?
Christopher Loughlin: Dan, I’ve been here in this role almost for four years now and one thing I can say is that we didn’t invest heavily in innovation and search and the market did, we invested in our local deals Getaways and hardcore travel products and they also bringing the European business app. I’m pretty excited about the prospect of innovating now into search, now that we will have date structure information for our deals, we will be able to pull those into the results. So, I certainly see that there is a future for Travelzoo in search, I was quite pleased with the fly.com consumer site results immediately, we saw hundreds of thousands of people using the mobile website for fly.com, of course, if we don’t have a SuperSearch product on mobile and we don’t have fly.com apps at this time, we are not going to benefit from that traffic shift, so I think this, there’s certainly more to come and we are looking to forward to this review, it’s long overdue.
Dan Kurnos – The Benchmark Company: Great. On the expense side of the ball, I guess a couple of questions, you guys have sort of, I guess, underperformance the way, but you come well short of your expense forecast in the past couple of quarters now and I know search has been the driver of that, you’ve also reduced headcount, I mean how should we think about investment of beyond what you have given in terms of the hotel platform, when do you start investing in subscriber growth and are you going to start ramping headcount again as the hotel booking platform comes online, some color there would be really helpful, thanks?
Christopher Loughlin: From the headcount we don’t have current plans to ramp, we’ve got much of the team in place we will leverage the same sales and marketing and product teams that we have already. We may extend customer service as volume picks up, sorry, Glen do you want to pick up the rest of the question, I’m not sure there’s really much more information there.
Glen Ceremony: Yeah, I think some of the fluctuations down that you see in the past and especially in the marketing line have been primarily due to the search business where we talked about where we, if can't spend a profit, we just don’t spend it, right? And so, the revenue line out of the common indicator of it, but as far as the subscriber acquisition, we do kind of just monitor that on a quarter-by-quarter basis and if our revenues are, we are worried about revenues not coming in, we are not going to spend as aggressively and if they are coming in stronger and as we expect, then we will continue to spend there, so it’s kind of a balancing out with that marketing spend.
Dan Kurnos – The Benchmark Company: Great, thanks Glen. On the hotel platform side just a quick question when you guys actually think that would be beneficial or marginally beneficial to the P&L and you are still investing in the launch, I think you had said previously was waited for maybe Q4 of this year, back half of this year?
Christopher Loughlin: We are testing internally with and pleased right now as I said, I stayed last night at the hotel that I booked through the platform and we expect to take consumer bookings starting this quarter. The revenue will then start to hit as folks check in, it will be minimal this quarter and they will start to then climb up in 2 and 3.
Dan Kurnos – The Benchmark Company: Great that's very helpful and one last question on the usage of cash, do you think you might make any acquisitions or sort of filling some of the tech apps that you guys are having right now or to maybe modernize the platforms, I know typically you built out organically although you did make a small acquisition to launch the hotel platform or do you think you’re going to continue to stockpile cash and just maybe use some of the monitored repurchase of shares?
Christopher Loughlin: Well, obviously yes, we’ve just announced the repurchase program and we’ll continue to review any deals that sort of set the strategy. So far, we haven’t found a deal sort of priced appropriately that set with our objectives, so nothing planned, but the repurchase is now out there and we’re pleased to do that.
Dan Kurnos – The Benchmark Company: All right, great, thanks for all the colors guys.
Christopher Loughlin: Thank you.
Glen Ceremony: Thanks, Dan.
Operator: Thank you and at this time I would like to turn the conference back to Mr. Loughlin for any closing comments.
Christopher Loughlin: Ladies and gentlemen, thank you for your time and support, we look forward to speaking with you again next quarter. Have a nice day, thank you.